Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to Yamana Gold's Q2 2014 Financial Results Conference Call and Webcast. At this time all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be provided at that time. I will now turn the call over to Ms. Lisa Doddridge, Vice President, Corporate Communications and Investor Relations.
Lisa Doddridge: Thank you all for joining us this morning. Before I turn the call over, I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include but are not limited to statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices, and the cost and timing and development of new projects. For a complete discussion of the risks, uncertainties, and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our press release issued yesterday announcing our second quarter 2014 results as well as our Management's Discussion and Analysis for the same period and other regulatory filings in Canada and the United States. Throughout the presentation, when speakers use the term ounces, they will be referring to gold equivalent ounces unless otherwise stated. Gold equivalent ounces include silver production at a ratio of 50:1. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12:00 noon Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana's website yamana.com. I will now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Lisa, thank you very much. Ladies and gentlemen, good morning and thank you for joining us today. I am told that it is a very busy day for most of the participants on the call with many companies reporting, so we will try to be brief. As usual, I will begin with some general comments, before turning the call over to our management, starting with our Chief Operations Officer, to comment on our operations. Here with us also is Daniel Racine, who will provide an update on our newest asset in the portfolio Canadian Malartic; Chuck Main, who will take us through the financial highlights; and then Darcy Marud, who will provide an update on certain strategic initiatives. Ladies and gentlemen, I use the word "balance" a lot and for us taking a balanced approach is important. To focus on one thing to the exclusion of others reduces our company's ability to deliver sustainable value. Balance is across various measures. Its cost and production, production and cash flow generation, risk and reward, cash distributions and corporate cash management, risk reward and opportunity. We focus on production while balancing that with cost containment and mitigation, capital discipline, and ultimately we generate and maximize cash flow, free cash flow and cash returns on investment. We began a reset last year, which continues into this year, reflecting initially the rapid and significant gold price decline last year. That reset contains the following elements. Reduce and contain operating costs; reduced capital spending; focus on core operations where we can deliver best production and cash flow; acquire, develop, and plan new assets that are better than some of the assets in our portfolio; and using the word "balance" again, we are in process on a rebalancing of the portfolio in favor of our better assets. In that context, we looked at our jurisdictional presence and technical depth and rebalance to that also. As a result, we have supplemented our management group appointing Darcy Marud initially as Executive Vice President for Enterprise Strategy; appointing Daniel Racine as a our Senior Vice President for Canadian Operations and Mine Planning & Development; and appointing Barry Murphy as Senior Vice President for Technical Services. We also delivered a feasibility study for Cerro Moro. We acquired Osisko and thereby established ourselves firmly as an America's gold focused company. We have also pivoted our technical depth and presence from mostly a Brazil focused one to include Chile and Canada also. We have streamlined our South American management and created a focused management for our America's effort rather than only South America. As we improved our portfolio and management depth, we also improved our balance sheet. We achieved investment grade credit ratings at two top rating agencies and were rated BB+ at another with a positive outlook. We also issued $500 million of senior debt notes with a long maturity date and used those funds to repay a short-term loan that was used to finance the cash portion of our acquisition of Osisko. The tenure and interest of the debt better reflects the mine life and capacity of our assets. Now, I'd like to spend a few moments on our portfolio approach. We also take a strategic approach to the assets in our portfolio, again with a focus on balance cash flow and value enhancement. We have a core of assets which generate the best returns and make the biggest contribution to production and cash flow or in some cases are expected to in the future. Cerro Moro is considered a cornerstone asset even though it is not yet in production, although it will be a positive cash flow contributor once it is in production we expect in 2016. We focus on our cornerstone assets and pursue optimizations, expansions, and cost reduction at each of them to drive further value. Corpo Sul which is a pit to the south of our Chapada pit, with higher grade rate for copper and for gold is an excellent example of that and that is progressing very well with a startup of operations expected by the end of this year. We have other producing assets that make more modest contributions to production and cash flow, and we strive to enhance returns at these assets through operational improvements, but we were also considering other avenues to enhance and realize value. There are some assets where we see limited potential to become cornerstone assets and expect that they will always make modest contributions, and we need to look at alternative solutions in striving to maximize value. We also have assets on our balance sheet that hold significant potential, but are not yet contributing to production or cash flow. We refer to these as dormant assets and with these assets we focus on generating above average returns throughout all phases of the project development cycle, and we believe, we have many avenues to enhance returns and unlock value. Agua Rica and Suyai fit into this category. We will evaluate the value of developing these projects, monetizing them, and the many alternatives in between to increase our cash returns on invested capital. In taking this approach to each asset in our portfolio, we are always focused on generating better returns, with a focus on cash return on our investments. Now I would like to take a few moments about our second quarter. As I said the operational focus is on our cornerstone assets. In the quarter they contributed 85% of our production, and within that group, if you look at only the key assets, or in other words the top five based on their contribution to production and cash flow, they contributed over 70% of the total production in the quarter, and they represented an increase of 30% over the first quarter. Included in this group is Canadian Malartic even though its contribution was only two weeks of production for the quarter. So in the third quarter the contribution from these key assets and our cornerstone assets in general will continue to dominate. I want to be sure it is clear growth at our key assets is the quickest growth to value creation; we fundamentally and firmly believe that. And as I said, these are the assets that contribute most to production, but just as importantly to cash flow. We successfully executed our plan to contain costs in 2013 which extended into 2014 and established a sustainable lower cost structure for future years. Our co-product and by-product all-in sustaining cost figures are consistent with the new cost structure as both were at lower levels than the first quarter of 2013. Costs are expected to decline over the year, similar to the quarterly trend we saw last year, and given our expectation of increased production into the second half of this year. All-in sustaining costs for 2014 are expected to average below $925 per ounce on a co-product basis and on a by-product basis below $850 per ounce. And that leads right into the cash flow generation for the quarter. Last year after that precipitous metal price decline, we established what we called as a new baseline for cash flow and roughly we said $0.20 per share per quarter was what we thought was the baseline assuming metal prices at a constant level. It is a level that should be achievable and sustainable with our current producing assets assuming current metal prices. In Q2 our cash flow was $0.23 per share which is above that baseline cash flow level, we are very pleased with that result. And as I have said many times before, we are focused on the generation of cash flow. The majority of this cash flow is generated at our key assets and again keeping in mind the Canadian Malartic had relatively little impact on earnings and cash flow this quarter as it was only part of Yamana for about two weeks. We expect significant contribution from Canadian Malartic in the second half of this year and going forward. And before I turn the call over to our operations for discussion I want to use a phrase that I've used before and I believe it's familiar to those of you on the call who are in capital markets. The trend is our friend. Historically, our second half production is better than our first half. Production will increase quarter-over-quarter and we expect costs to decline in part because of embedded approaches to reduction of costs that take effect in the second half of the year, but also because of the increase in production in the second half of the year. We expect that trend to hold true for the remainder of 2014. We expect production above 1.42 million ounces and all-in sustaining co-product cash costs between $900 per ounce to $950 per ounce and $845 per ounce to $875 per ounce on a by-product basis taking that midpoint of $850 per ounce as I mentioned before. With that, I will now turn the call over to our Chief Operations Officer, Ludovico, to highlight our second quarter operational achievements and provide some further insight into the expectations for the rest of the year, and then after that other members of management will follow.
Ludovico Costa: Thank you, Peter. Production in the second quarter was in line with budget with 331,765 gold equivalent ounces consisting of 284,366 ounces of gold and 2.4 million ounces of silver. Copper production for the quarter was 33 million pounds. Cash flows were $523 per ounce on a by-product basis and $622 per ounce on a co-product basis. All-in sustaining cash costs were $864 per ounce on a by-product basis and $915 per ounce on a co-product basis. Second quarter production was 22% higher than the first quarter production, and we expect continued production growth throughout the year. Our key assets continue to deliver. At Chapada, higher grades contribute to our 40% increasing gold production and the 20% increasing copper production from Q1. Cash cost for gold declined by 19% and copper costs declined slightly also from Q1. El Penon production increased by 21% compared to the first quarter, as a result of the 18% increase in feed grades. Gualcamayo production increased by 37% compared to the first quarter, as QDD Lower West underground continues to ramp up. Grades increased by 11% consistent with our planned (inaudible) operation. Production at Mercedes grew modestly as planned, as we continue to mine in lower grade areas. Grades are expected to improve over the rest of the year. Our newest cornerstone operation, Canadian Malartic, contributed just lasting 12,000 ounces in the last two weeks of the quarter. With a full quarter of production, Malartic is expected to have a significant impact in the rest of the year. Our other operations also showed improvements quarter-over-quarter. At Minera Florida, production continued to improve year-over-year. Jacobina continued to advance the redeveloped mine plan and showed continued improvement. Production increased by 26% and grade improved by 10% compared to the first quarter. Our other production mining increased production by 19% compared to the first quarter. We are so happy to commissioning production of approximately 21,000 ounces in the quarter. We expect to see quarter-over-quarter production growth through the second half of the year, with the cost of sales to remain within the guidance range. Our cornerstone operation will continue to contribute significantly to this growth. At Chapada, production is expected to continue increasing. The higher grade Corpo Sul product is expected to being contributing by the end of year. Enhanced throughput and further improvement are also expected with recent acquisition new drill rigs, and completing the installation of the in-pit crusher plant for the third quarter. At the El Penon, ore feed and feed grader both expect continue to increase and productivity is expected to improve in the second half of the year. Average production for the second half is expected to be in line with the second quarter. Gualcamayo was positioned to meet production expectations for the year and an improvement in the structural respect for the expansion of the ADR plant planned for the second half. At Mercedes, we except positional growth has gold and silver grades return to higher levels in the third quarter. I will now turn the call to Daniel to provide a further detail on our newest cornerstone operation.
Daniel Racine: Thank you, Ludovico. Good morning everyone. I am excited to be able to discuss the progress we have made since acquiring Osisko. With us in the room today is Christian Provencher, Vice President, Canada, for Agnico-Eagle, my counterpart in managing the operation for the partnership. Before discussing 2014 expectation for Canadian Malartic, I would like to provide an overview of our partnership with Agnico-Eagle, and the status of the integration effort. We have established an integration committee which oversee all aspect of our effort and as we advance the transition of acquiring assets into the partnership structure. The integration committee is supported by subcommittees representing the various disciplines who report regularly on their progress. Transitioning is progressing as planned and we have begun to establish the partnership with local and regional stakeholders at each of the property. However our initial focus has been on Canadian Malartic and we have taken a more thicker approach with the exploration portfolio. As we advance plans for the exploration portfolio, we expect to be able to provide details on the planned exploration program, including budget and strategic plans to develop the Kirkland Lake cap later this year. To further support our effort we will establish an operating committee headed by myself and Christian. The operating committee has been focused on Canadian Malartic with the goal to ensure continuity of operation, while we evaluate how to further unlock value at the operation. For the full year 2014 we expect Canadian Malartic to produce between 510,000 ounces and 530,000 ounces of gold. We expect by-product cost of our product approximately $695 per ounces for the full year which include the new 5% NSR payable for fiscal gold royalties for the remainder of this year. Total capital costs are estimated to be $169 million Canadian for the full year. As I mentioned studies are underway to evaluate opportunities to unlock further value at Canadian Malartic. Initial sales has been evaluated include: project to improve the current crushing and grinding constraints; the generation of additional stockpile to support and increase in daily throughput; true modification of the current crushing and grinding circuit; cost reduction through saving of consumable and equipment; and potential reduction in contractor head office G&A and exploration expenditures; the improvement of drilling and blasting technique in the open pit; and optimizing the mine plan. We expect to provide detail of our optimization plan as well as an updated technical report by the end of the third quarter. Finally, we expect to provide updated guidance in early 2015. I will now turn the call over to Chuck to discuss our financial results.
Chuck Main: Thank you, Daniel. Overall our second quarter results were expected both operationally as well as Ludovico already highlighted and with respect of the financial results delivered. Revenues for the second quarter were approximately $450 million. Our adjusted earnings for the quarter were approximately $43 million or $0.05 per share. Our cash flow before exchanges in working capital was approximately $177 million or $0.23 per share for the quarter, once we adjusted for one-time payments associated with our acquisition of Osisko that closed late in the quarter. This level of cash flow exceeds the $0.20 per share baseline cash flow level that we established to reflect the current environment for costs and commodity prices. I think it is important to note that under IFRS we are required to expense our costs, related to a transaction in the quarter that it closes. This is despite the fact given the closing so late in the quarter; there is only two weeks of production and revenue or cash flow recorded from Malartic in the quarter. Our earnings and cash flow grew significantly over the first quarter, which has always been our weakest quarter. We expect this trend to continue for the year as the remainder of the year will reflect a full contribution from Canadian Malartic and additional production growth expected from the portfolio. With the continued production growth and cost containment delivered in the quarter, in finance, we are focused on strengthening our balance sheet, while facilitating that growth. There is a companywide focus to balance top and bottom-line growth to create and improve shareholder return. At the end of the quarter, cash and available credit was approximately $885 million. This includes cash and equivalents of approximately $174 million. Our focus for the remainder of the year will be to build up our cash balance. This provides for greater financial flexibility. Depletion, depreciation, and amortization grew slightly in the quarter to $123 million. This reflects where we are currently mining and the additional production. Corporate G&A was $37 million, which will be reduced in the third and fourth quarters. Our exploration expense for the quarter was $4 million, a decline year-over-year, as the longer-term exploration goals have been met, and reflects the programs we align it to adapt to the current environment. Total capital spend in the quarter was $194 million, a significant decline from the previous year, again reflecting the new environment. As Daniel mentioned, we expect additional capital spending for the remainder of the year related to Canadian Malartic mine that has increased expectations for spending in the year. I'd like to spend a few minutes to ensure our debt position at the end of Q2 is clear. During the quarter, we incurred $500,000 in additional debt, which represents the cash portion of the Osisko transaction. In addition, we assumed 50% of the existing debt, as Osisko Canadian Malartic take our total debt to just below $2 billion. During last quarter, we obtained a two-year $500 million term facility used to initially fund the cash portion of the acquisition. Also during the quarter, we issued $500 million in senior notes and we used that to repay the two-year acquisition facility. Taking this one step further. The overwhelming maturity of our debt almost $1.7 billion is long-term debt with scheduled repayments in 2019 and beyond. As you can see by the graph in the presentation slide, annual maturities are at very manageable levels over the next five years with less than $100 million due in the next two years. We believe this structure and tenure of debt is best matched with the expected life of our assets and a prudent structure on our balance sheet. Now, I will turn it over to Darcy.
Darcy Marud: Thanks, Chuck. As both Chuck and Peter mentioned, at Yamana we've always been about balancing top and bottom-line growth and generating cash flow. Part of the enterprise strategy mandate is to identify opportunities within Yamana where we can improve returns on invested capital and increase cash flow generation. As we look at our current portfolio of project to mines, we see areas for improvement specifically with some of our non-core assets stock growth to deliver on expectations. Although, these assets do not necessarily contribute significantly to our production, they required an excess amount of technical support and financial resources from the company. We have commenced a revaluation of all of these assets with an integrated approach with representation from our operations, exploration, technical service and finance departments. We are valuating a range of operations that include continuing recurrent plans and optimizing them over time. This is something that we have implemented at Jacobina and Gualcamayo and we are starting to see in the last nine month the effects of those programs as they begin to take effect. We will continue to focus all of our efforts on value enhancement and we will look at all assets available, including operational improvement and even the sale and closure of certain assets where justifiable. We are prepared to take any and all actions required to protect cash flow and focus on enhancing value to all of our stakeholders. Another way we continue to look at enhancing value and we manage the new projects currently in our portfolio. Peter mentioned earlier Cerro Moro. Cerro Moro is one of our future stars in this company. And we are currently working on a program to eliminate uncertainties similar to what we did at Mercedes. We have hired M3 at Tuscon, Arizona and Buenos Aires Argentina to comment the detailed engendering program for Cerro Moro based on the feasibly study that was delivered in the first quarter. We are currently on schedule for construction decision by the end of this year. At Agua Rica, we are consolidating our technical and feasibility level work. We have a high level of stakeholder engagement that can enhance product value and elevate project jurisdiction taking risk, eliminate project jurisdiction risk in the short-term. We are also evaluating other strategic alliances in regard to Agua Rica. At Suyai, we have a new concept that complies with current legislation in the province of Chubut. We are in a process of permitting this operation. And we are seeking long-term stakeholder and public engagement that will positively change the opinions of mining in Chubut going forward. With that I'll pass the call back to Peter Marrone.
Peter Marrone: Ladies and gentlemen, thank you very much for participating. Before I open the call to questions I would like to make a couple of observations. One is a clarification and the other is perhaps a thanks. The clarification is when we referred to $189 million of capital in the quarter we included in that expansionary capital and also sustaining capital. And as you are aware of the sustaining capital so that there is not a double count, it goes into our cost per ounce when we reported $850 per ounce on a by-product basis and $925 per ounce on a co-product basis. That's the clarification. The thanks, perhaps is to say thank you to Agnico-Eagle and to Chris Provencher for being here with us today. We find ourselves in a very unique situation, ladies and gentlemen, which is the rarity of having a representative of the senior management of another company participate on our call. And we thank you Chris then for joining us. And with that, we'll open the call for any questions on our quarter and generally on the company.
Operator: Thank you. We will now take questions from the telephone line. (Operator Instructions). The first question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew Quail: Good morning Peter and team, thanks very much for taking my question and congratulations on a very strong quarter. Just going through some of the operations looking at Chapada obviously grade was better than and most we're expecting there and it has been improving. Do we sort of see that going through second half and may be into 2015?
Peter Marrone: Yes, we do. I'll turn it over to Ludovico for a bit more guidance on that and again thank you for your comments. We do think it was a strong quarter. Chapada was very good, improved in the quarter and we expect that improvement to continue through the year and certainly into 2015 for this particularly with the contribution coming from Corpo Sul. Ludovico, I don't know if you wanted to add anything to that.
Ludovico Costa: No, the thing is just that now we expect that the grades to continue in the tradition of Corpo Sul we may seen an increasing grade investment to happen by the end of the year.
Andrew Quail: And on -- I suppose on Malartic obviously it's brand new and I think most people know there is a lot of potential there and especially something might be longer-term in the underground. Is there something we can expect by -- an upside on to this year or is that more definitely a different story?
Peter Marrone: We would expect I would turn to Daniel in a moment perhaps Christian, if you would like to comment. But we expect a plan for optimization by the end of the third quarter of this year. And so bear with us as we go through that and we will evaluate all of the options that are available to us including planned optimization to increase the throughput and any other potential that exists in the ore bodies themselves. Daniel or Christian, I don't know if you wanted to add anything?
Daniel Racine: No, nothing.
Andrew Quail: Right. And last one from me, just doing the number on Cerro Moro it looks so much of a no brainer to me. What would be the biggest headwind or challenge that you guys will face as you sort of make that sort of construction decision in the next 6 to 12 months?
Peter Marrone: You hit the nail on the head, Andrew. It is an impressive project no matter how one slices and dices it, it will deliver robust returns amongst the best that we have in the company and it will deliver very impressive cash flow and accretion or increase in cash flow in aggregate on a per share basis. It has a very low CapEx and has a very low cash costs and all-in sustaining cost for a production profile that is at least 150,000 ounces per year. It is above grade. What we try to do however is not just take advantage of rate but we try to do with Cerro Moro is they take advantage of something that we think is important which is manage, balance, risk, and reward. So the level of project that has a comparatively small mining rate 700, 800 tonnes per day and a comparatively small throughput rate, which is again 700, 800 tons per day to be able to deliver that 150,000 ounces plus. We think we'll be able to bring it to a higher number than 150 but the baseline presently is 150 with an all-in cost including our sustaining capital of below $550 per ounce.
Andrew Quail: And what would be the anything there that sort of stands out that would be a challenge -- anything sort of whether it would be infrastructure or is it Argentina?
Peter Marrone: No, not that we're seeing. That's why what I'm saying is a balance of risk and opportunity. We deliberately looked at this project as a small scale tiny operation that delivers a lot of ounces, certainly a lot of ounces for us and a lot of cash flow based on those ounces because of that low cost structure. What we've tried to do and this is not a headwind it is actually in many respects a tailwind and perhaps it answers you question more directly. We said we're not going to rely just on a feasibility study to make a construction decision. We will take an approach similar to what we did with Mercedes. There is comparability between the two. We will rely on companies that will help us with the plan that have familiarity with Argentina, a company that has built operations in Argentina, and that has helped us with another similar operation in this case Mercedes and our Reliance and M3. We will engage in a program of detailed engineering so that we have a better handle on what to expect and a better handle on costs before we make a formal construction decision. We could have made a construction decision based on the feasibility study. But waiting those between those extra few months into the end of this year to get that higher level of confidence is important not just because of the capital costs but because we command better predict what to expect of ground conditions, what to expect of production, what to expect of costs, and when we can actually be in operation. So it's trying to get us to a point where we can more comfortably say, this is what you should expect out of this asset because we've done more work than just a feasibility study.
Operator: Thank you. The next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni: Hi guys, congratulations on a good quarter. My question is with regards to Guacamayo and the underground split actually lower west and I'm just trying to get the idea of sort of what the ratio of underground or to open pit was. And then also could you just talk a little bit about recovery rates and modifications that you're doing and how you see that evolving over the course of the year?
Ludovico Costa: This is Ludovico. While I'm trying to hear the revision in terms of production, basically the recovery what we're going to try to get is a better extracts from the price, the current prices and from the older price that we have there. We remember that we have there north and south pit -- south we fed. We are able to strike more ounce from the south pit. In terms of our proportion, you can say more of that is around 70,000 tonnes of ore pretty much in the underground and there are only 500,000 tonnes in the open pit of ore.
Anita Soni: And could you give us an idea of what the underground mining costs are running out right now?
Ludovico Costa: Right now, it's in the range of $80 per tonne.
Anita Soni: Okay.
Ludovico Costa: But we expect that to reduce around the $70 per tonne as we go forward.
Anita Soni: All right.
Peter Marrone: And one of those strong reductions, Anita will come from just increasing that proportion from underground and open pit. And the other is we are just commissioning the conveyor system. Up until now, we've been trucking a lot but we will commission the conveyor system and that should improve our costs as well.
Operator: Thank you. (Operator Instructions). We have another question from Alec Kodatsky from CIBC. Please go ahead.
Alec Kodatsky: I just had a couple of questions on the other assets. In looking at the CapEx in the quarter, you spent about $90.50 million at C1 Santa Luz and almost $40 at Pilar. Just curious, is there an operating loss built into that number or are you sort of spending that on the development? And then, just trying to get a picture on what your expectations are for the investments there over the rest of the year?
Chuck Main: Yes, it's a combination of development cost and pre-commercial production operating losses.
Alec Kodatsky: Okay. So both of those are in there?
Chuck Main: Yes.
Alec Kodatsky: And then, is -- I guess in terms of the timeline, last quarter you were sort of pointing the Q3 for commercial production there. Is that deviated at this point in time and sort of I guess what in terms of raw capital are you expecting to put in there?
Peter Marrone: Alec, we felt -- we need to distinguish between C1 and Pilar. In the case of Pilar you saw a strong increase or strong growth in production from Q1 to Q2. And anticipating that, the further increase in Q3 we have a higher level of confidence being able to say that we would in complete commissioning and getting to commercial production in Q3. In the case of C1, there is an element that that is more binary. As you -- there it is mining rate, efficiency in mining, the reducing dilution, and making sure that we've done enough infill drilling so that we know where we're capturing grade. In the case of C1, it's about the plant. The mine functions very well, but it's the plant and that is more binary because that regeneration kiln is -- was expected to be put in place in August. So sometime between August and September and then we should see an increase in production from that point forward. So now, when we -- I would say to you that we have a bit less certainty on whether or not we would be in commercial production in Q3. But we are evaluating that along with a number of other options for it. So very comfortable saying to you that Pilar is working toward that goal. C1 Santa Luz will have a bit more to say about it from late August to early September.
Operator: Thank you. Our next question is from Tanya Jakusconek from Scotia Bank. Please go ahead.
Tanya Jakusconek: Hi. Thank you very much. Good morning everyone. Just wanted to get a split between the ounces on Pilar and from C1 Santa Luz in Q2, just couldn't find it in the press release? Hello!
Chuck Main: Yes. We're waiting. We're right here Tanya. We are just trying to getting those numbers, yes.
Tanya Jakusconek: It's okay. Thank you.
Chuck Main: What we are trying to do while we fumbled through pages to get those number is, one of the reasons we haven't provided is because it is such a small contribution, but we will get you those numbers. It's roughly 13,000 ounces coming from Pilar in the quarter and most of the balance is coming from C1. But let us get you precise numbers.
Tanya Jakusconek: Okay. Perfect. And then, may be a question for Dan -- Daniel and Christian, if I may.
Daniel Racine: Yes.
Tanya Jakusconek: Yes. Okay. Good morning guys. I just wanted to touch based on Canadian Malartic. We saw that your operating costs $21 per tonne, deferred from the $18 per tonne put out by Osisko in their March Investor Day. May be you can share with us, we saw in the Agnico press release a little bit more information on that where they saw some of the cost increases, but may be you can talk about the $3 per tonne increase and where you -- what you saw and whether that is a good number going forward? Thanks.
Daniel Racine: Hi, Tanya. It's Daniel. Yes, that's true that the increase as to $21, the difference between Osisko what Osisko released in March and now. When they released in March, goldy pit was not approved and they weren't -- they didn't start that pit. After that they approved that pit and then, I'll say about $12 million of the increase is coming from the goldy pit. The other is basically improvement in the north part of the pit, we know it's harder, it's closer to down so we want to take care in the drilling. That's what Agnico release. And the other one is, as we go mine in some area we -- the cyanide consumption is higher. But we have a team that work on these aspects right now. And like we have mentioned, by the third quarter, we will have a full plan to give to everyone how we have improved on those aspect. We all think that this will go down, but we wanted to be cautious as we are only one month into this adventure.
Tanya Jakusconek: Okay. So if more specific the $21 per tonne to what you are currently seeing and not -- it is not something for may be life of mine?
Daniel Racine: No, no. No, no, the life of mine will be back to what was put out by Osisko.
Tanya Jakusconek: Okay. That makes a lot more sense. And congratulations on your new position.
Daniel Racine: Thank you.
Tanya Jakusconek: Thank you.
Peter Marrone: Tanya, the numbers are about $13,000 for Pilar, just under $7,000 for C1.
Tanya Jakusconek: Okay. Thank you.
Operator: Thank you. Our next question is from Dan Rollins from RBC Capital Markets. Please go ahead.
Dan Rollins: Yes. Thanks very much. Just a couple of questions. I guess Chuck, may be the first one. There was a fairly large tax recovery during the quarter, some of that was I guess through the acquisition of Osisko and build back outs your corporate costs head office. But was there any cash implications from that current tax recovery or that deferred tax recovery, like will you see any -- when do you sort of expect to see the cash benefit in that?
Chuck Main: Yes. I'd say it's a future tax recovery. So I would say generally within the 12-month period we will see the actual cash benefit of that, but there is no cash benefit of it in the quarter.
Dan Rollins: Okay. And that was adjusted out of fully adjusted earnings or was that maintained in the adjusted earnings?
Chuck Main: That was maintained in the adjusted earnings.
Dan Rollins: Okay. Perfect. And then, may be just moving on to El Penon, it's been an asset that continues to run well, well above the reserve grades of both like gold, on a gold equivalent basis. How long do you expect to be able to continue to maintain those higher grades before we start to see may be the grade is more a normalized back towards reserved levels?
Darcy Marud: Hey Dan, Darcy. How are you doing?
Dan Rollins: Good. Yourself?
Darcy Marud: Good. Thanks. Certainly, we have always had this question about El Penon about reserve grades whether we are mining above that reserve grade. I think you are fully aware there is probably 20 different deposits at El Penon.
Dan Rollins: Yes.
Darcy Marud: The current bulk of production is coming from Bonanza and Al Este, which are higher than the average greater, the deposit. So that's the reason we are seeing higher than the reserve grade, reserve grade average is all those deposits together.
Dan Rollins: Okay.
Darcy Marud: If we do not continue to expand those resources and reserves and those deposits obviously, we're going to lower grades as we go forward. The good news is exploration year-over-year has been able to continually add on to the Bonanza and Al Este in the associated deposits near those main deposits and I don't think that's going to be an exception this year. So far results of El Penon have been looking fairly promising for continued addition of higher grade.
Dan Rollins: Okay. And if we just strip out potential future exploration success how much more years of oversee would you have from those higher grades, is another five years, six?
Darcy Marud: Probably closer to three years down.
Dan Rollins: Okay.
Darcy Marud: Three, three-and-a-half years at those higher grades, we have no future explorations.
Dan Rollins: Okay perfect. And then just a small question one of the sort of the upside potential at Malartic, the Malartic acquisition was the potential for the Odyssey deposits. I noticed that in the report that everything has been put on hold indefinitely to deal with some I guess land issues or some concerns over the ownership and the economics can you provide a little bit of color on that? What's the situation there?
Peter Marrone: We are -- we are somewhat restricted given that this is in litigation. So we're somewhat restricted in terms of what we can and cannot say what I am comfortable saying to you is that we will vigorously defend we and Agnico will vigorously defend this position and our position with respect to the tenure of these claims. We will go further and deal with the question over the allegation that there is a carried interest because we don't believe that that is true. And if there is a carried interest which is not true then it will affect the entire economic stuff of the Odyssey zone and in which case we wouldn't develop it.
Dan Rollins: Understood, excellent. And then one last question just sort of given we're not probably going to see a lot of detail on the other assets going forward. Can we just get an update on for Ernesto and C1 what the daily throughput you're expecting, what recoveries you're expecting and then may be just if you have, a unit cost, just so we have something to sort of model going forward?
Peter Marrone: Bear with us on that. As I said with the C1 in particular we are as I mentioned in an earlier question and answer to an earlier question it's somewhat binary because of that regeneration kiln. But bear with us as we put that in place and we will be in a better position to be able to say something about that sometime in September. As we will be able to give you some better guidance in terms of what to expect in terms of recoveries, what to expect in terms of unit costs, and what to expect in terms of overall production, and other points. What I can say at this point is that in order for us to breakeven we want to see at least a 70% recovery. We're not at 70% yet the regeneration kiln should get us to over 70% but we're just going through that process now.
Dan Rollins: Okay, great. Congrats on a strong quarter guys.
Peter Marrone: Thank you. And may I pick up on one more point as well which is a bit of a primer perhaps it's the teaser or the trailer to the movie. We expect to have an exploration update in September certainly in the third quarter. That exploration update we think will be very strong and positive. I think it will be encouraging to people but where you will see a lot of encouragement we're certainly I'm seeing encouragement goes to the question that you asked about El Penon and the yes, I think you made an assumption you said if we don't look at exploration successes we can't make that assumption because we have exploration successes. And some of these results and the infill and extension look very, very promising with very high grades. So bear with us as we complete that process of evaluation as we normally do and into the third quarter probably by September we will provide an exploration update and that will include Malartic but it will also include our other assets, other mines and one of the features will be El Penon.
Operator: Thank you. (Operator Instructions). Our next question is from Adam Graf from Cowen. Please go ahead.
Adam Graf: Thank you guys. Congratulations on the strong quarter couple of detailed questions. Just quickly the -- I didn't see the zinc production from Minera Florida in the release and then also I just wanted to and I apologize if I missed it to hear about the Agua Rica and the option agreement is -- has been withdrawn and now I just wanted to hear your view on options there at Agua Rica?
Peter Marrone: Let me begin on the zinc production perhaps one of the -- we have Ludovico here but we have also have Gerardo Fernandez who manages many of our South American operations, including Florida, so perhaps if I can pass it to him on the zinc production question.
Gerardo Fernandez: Yes, during the quarter we produced 1,500 tonnes of zinc concentrate from Florida.
Peter Marrone: We were not paid for that during the quarter; we were paid after the quarter.
Gerardo Fernandez: Where a little bit of sync with the credit from zinc, due to some negotiation with the contracts and now it's was going to be in sync with production now during Q3. We received full credit for our production in Q2 in July so that will be credited for Minera, Florida in this quarter.
Peter Marrone: So that cost structure you see from Florida in Q2 does not include the benefit of our zinc production and the credit for it. So we should see because of that zinc credit in Q3, we should see some further improvements across Florida in Q3. And on your question on Agua Rica we struck what we thought was a very good bargain going back several years now in 2011 with Estrada they gave all of the participants a significant win. We've been paid $50 million of option payments. We were asked for an extension to an option payment that was due and we chose and said not to provide that extension. We think that we can deliver better value for Agua Rica rather than to continue to extend that option agreement. And so we have elected selectively to terminate the option agreement and what we have done in the meantime and what we continue to do is to work with the government of Catamarca, that's where Agua Rica is located, along with the national government on forming what we would call mining district. We think that Agua Rica is the cornerstone of that mining district. As you are aware, geologically, Argentina and this area of Argentina has potential for significant copper production, and Agua Rica represents a core asset in that new mining district principally for copper. Our interest is gold. We think that there are many participants that will be interested in the copper and the moly. This is one of the richest deposits in copper and moly but also gold and one of the lower cost structures in the industry. And so we are not working to form a memorandum of understanding with the governments to form a mining district, the heart of which will be Agua Rica, and we will look to strategic alternatives to deliver further value on top of that $50 million that we have already been paid in option payments and what we think as the inherent value of the asset.
Adam Graf: And related to that can you just remind us what happens to the infrastructure at Alumbrera when that mine comes to an end?
Peter Marrone: Well, our understanding of it and remember that we are only a minority participant in Alumbrera with a roughly 12% 13% stake in Alumbrera. Our understanding is that infrastructure, that plant, all of that belongs to a semi-governmental organization, an organization called EMOD, a semi-governmental organization in Argentina in the province of Catamarca. And so that would then be presumably available to any one that would be interested in wanting to deploy and to take the advantage of that infrastructure. Our understanding is that it does not belong to the Alumbrera partnership, and so it would not go with Alumbrera.
Adam Graf: And is that just one final question. Is that the government fee that you would be dealing with?
Peter Marrone: It is one of the government entities that we would be dealing with. There are several moving thesis in terms of the government entities that we were dealing with. Adam, its broader than that. As you may recollect, you probably seen that, the Chinese government has indicated that it intends to spend roughly $11 billion in infrastructure in Argentina. One of that is in a new railway line, that railway line would pass almost straight through this area and so we are looking at this much more broadly in terms of not just the current infrastructure and the infrastructure in particular relating to Alumbrera but also the broader infrastructure in state and in country as it develops over the next few years. And the timeframe for this is comparatively short. We are talking about a period of about five years which coincides with the balance of the mine lives of Alumbrera and the timeframe for the development of Agua Rica.
Adam Graf: Excellent. I am looking forward to hearing future developments there.
Peter Marrone: And we will have a better feel for it as you've heard me say before there is no such thing as a master plan but it's a series of little plans that when you look back you think well, how did that come together. Barry Murphy has impressive experience with large base metal companies when it comes to dealing with these sorts of projects. And so, we are looking forward to him going to through the evaluation of all of this to say here is what we should expect in terms of this particular asset, in terms of the region, and in terms of the interested participants that are in the base metal industry and other industries that would love to take advantage of that infrastructure specific and more regional and national and we would love to take advantage of this very rich deposit and a very rich number of pounds of copper and moly.
Operator: Thank you. Our last question for the day is Patrick Chidley from HSBC. Please go ahead.
Patrick Chidley: Just a question? Just back there was a question earlier on the Odyssey. I am wondering if you could explain what's going on there with the litigation.
Peter Marrone: What we, again, as you can appreciate, Patrick, whatever public disclosure we said there is a company that has made a claim that they have an interest in the Odyssey zone; they claim that they have a carry in that Odyssey zone. We do not believe that they have that interest. They have made claim that there are a certain other things as well. We do not believe that that is true and we would vigorously challenge the actions that they are taking and we would go further and take the position that we do not believe that there is an interest and certainly not a carried interest.
Patrick Chidley: Right. What is it about the Odyssey zone? I mean is that a resource or what do you expecting out of that?
Peter Marrone: No, there is no resource there are just some drilling that occurred mostly from the beginning of this year and into the middle of the year mostly during Osisko's tenure while the order in the unsolicited takeover bid process. I believe they were trying to demonstrate that there was some potential to Odyssey. We are looking at Odyssey really as a -- we don’t know whether or not there is potential there, we don't know how many ounces there are. It may not be economic at all; it could be significantly less ounces than anyone anticipates. The point here is a point of principle and the point of principle is you cannot make actions like this, certainly with a copy of a structure like Agnico and Yamana without consequences.
Patrick Chidley: Sure. Okay, good. All right. Thanks.
Peter Marrone: So ladies and gentlemen, thank you for that and we know that many of you have very busy schedules. My understanding is that four or five of our peers reported last night. We are into this morning so we know that you have very busy schedules. We thank you for your participation and we hope we haven't taken too much of your time. There is a statement that we make at the back of this presentation that I will reiterate it's the integration of Canadian Malartic into our portfolio and the expected continued performance of our cornerstone operations has us well positioned to deliver significant value to shareholders and with that maximization of cash flow and ultimately into the end of this year and through 2015 and 2016 and the years to follow. What we see is an increase in our free cash flow. It was one of the reasons why we purchased Canadian Malartic. It continues to be a theme of ours. Maximization of cash flow and free cash flow and with that thank you for participating and we will look forward to seeing you on our next conference call.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time and we thank all whom participated.